Duncan Graham Wanblad: Okay. Good morning, everybody. I think it's just on the hour, so we'll start. And welcome to you all. It's been a pretty busy half and I'm pleased to say, through all of that, we've delivered a very strong result. Despite prices falling for us by 10% for the basket of the commodities that we produce, the revised plans that we put in-place have delivered an excellent performance, especially in our copper and iron-ore businesses. This, alongside some very, very good cost control, delivering significant progress on our cost-out targets has led to an EBITDA of $5 billion, that was down just 3% on half one of last year. John will unpack that a bit later. However, the focus is now absolutely unchanged and squarely on those three key strategic priorities that I laid out for you all back in February of this year, which is operational excellence, portfolio simplification and growth. Building on the reset of many of our mine plans of last year, through the first half of this year. And I'm going to start there and talk a little bit about how that translated into the half one financial performance before moving into portfolio restructure and growth. So the first priority, operational excellence has to be in safety. Ensuring our colleagues go home safely every day is my number one priority. Over the last couple of years, we certainly have seen a step-change in our injury rate performance. It's now delivering a 23% improvement since 2022 and our lowest ever first half performance for the Group. But clearly, it's still not good enough, far from it, in fact, because we still had two fatalities at Amandelbult in June of this year. We are absolutely focused on putting a stop to this. And the fire at Grosvenor I think, is a very clear reminder for us all of the potential hazards in this industry and the importance of systems, people, processes and culture. And I'm very pleased to say that these did actually all come together for us and we were able to evacuate the whole of that mine without any injury at all. And so there were over 150 people underground at the time that we saw the incident or noted the incident. One of the priorities of our organizational redesign last year was to strengthen the leadership accountability across the group and free up our leaders to spend more of their time on-site and focusing on operational delivery. Our leaders spending more time in the field is having -- and by spending more time in the field, they get a chance to have more quality interactions with our workforce and that has brought about an improved understanding of both the challenges of the operations, but also some of the opportunities in improving the way we deliver the work. These interactions have led to considerable improvements I think, in housekeeping, in job conditions, in work execution methods and certainly in improved training programs, all of which, I can see is now contributing to a more engaged and a more productive workforce. I am confident that we are transforming both the organization and our operational capabilities to ultimately eliminate fatalities for good. Now you've seen this slide before, it's a simplistic representation of our operating model, but it is the foundation of operational excellence. Excellence relies firstly for us on having a good plan. That plan, of course, needs to be stretching, but yet it must be realistic. Rigorous execution of that plan is then absolutely key but just as important to the delivery of that plan are all the processes and routines that not only correct any deviations to that plan in a safe and a timely manner, but also improve either the efficiency of the execution or indeed improve the plan itself. So that all sounds simple enough, but what does it mean in practice and what does it meant for us in the first half of this year. What we've seen what happens when plans are overly ambitious and not owned by the people who are -- who are required to deliver them. And we are correcting for that at the moment and that was -- that was a function of the major reset that we did in December of last year and now we're starting to see the benefits of it. Mine plans are about the most fundamental of all of the plans that we produce in this business. For several reasons, we'd had to review and reset many of these over the last year or so. And having done most of that now, execution becomes the real focus. And here we are starting to see some of these positive results. And without trying to be comprehensive in the data that I've selected for this slide, it does -- the detail here does show the outcomes of some of this achievement. First of all, planned maintenance in the Group is up 23% year-on-year and our focus on conveyor is a very big part of the production machine that we've got, has meant that failures are down by 71% and we can actually measure the fact that the losses to production as a result of equipment failures is down 37% year-on-year. These are real numbers and they are absolutely coming through in the operational performance. So this doesn't only result in stable and cost-effective production, but absolutely also in safer operations. So I don't think that our total recordable injury frequency rate, which is, as I said earlier, now the lowest in the Group in the history of the Group is coincidental, it's directly correlated to this. And finally, for this all to be sustainable, we have to continue to work on this culture of analyzing and improving both of our plans and the performance against our plans. And this is why our leaders are now spending much more of their time in the field. Better planned and more productive operations also tend to be safer operations. It is a journey and I believe we now have good foundations and we can see some of the outcomes related to that progress in terms of evolving our operating model. Now while production is broadly flat compared to the first half of '23, we are importantly tracking in line with our plans with operational momentum enabling a 2% step-up in the second-quarter on the first. As I mentioned earlier, copper and iron ore have performed particularly well. We had an excellent performance really in copper and we are tracking to our plans as we move through the current lower grade mining phases at both Los Bronces and Quellaveco. As per the plan, the Los Brances plant is going to be being put on care and maintenance at the end of this month. Collahuasi performance benefited from an increase in throughput and as a whole, the business has progressed extremely well on their cost saving targets. In iron ore, Minas-Rio has maintained strong operational performance with good momentum going on into the second half. The reconfiguration of Kumba coupled with our focus on operational excellence there, is also beginning to deliver results with some great outcomes as far as cost reduction and productivity improvements are concerned. Performance at PGMs has been improving through the half with the benefits of the revised mine plan at Mogalakwena now on track to come through in the second half of this year and we've already seen some of the early stage improvements from the turnaround at Amandelbult, particularly in the second quarter of this year. We did benefit a bit there from selling down the inventory, which of course has also helped us focus on our streamlining of working capital across the whole of the Group. Now with the Section-189 process or consultation process is behind us, the cost reductions associated with that are on track and will come through quite strongly in the second half of this year. I'm going to come back to De Beers on a separate slide in a moment. Steelmaking coal did see an improved performance at Grosvenor particularly, but this momentum unfortunately ended for us in late June with the fire. Again, I'm going to come back and address Grosvenor in a couple of slides time. Moranbah and Aquila both continue through more challenging ground conditions, although these should improve as the longwall move scheduled for Moranbah happens in the second half of this year and Aquila continues to move through their current mine plan over time. Finally, the nickel business executed very well on their plans and delivered a particularly strong first half cost performance as their input costs fell. So coming back to De Beers. The rough diamond market did start to show at the beginning of this year a slight improvement. However, in quarter two, the trading conditions deteriorated quite materially again. The Chinese market has been very soft as luxury spending has weakened. And although the US consumer demand is broadly stable, there is still caution from retailers when it comes to restocking. As the bifurcation of demand for lab-grown diamonds continues and as India sees impressive growth rates, all signs point to a demand recovery in the medium term. But for now, it is important that we take further action. And that is why, as we highlighted in our quarter two operational update last week, we aligned with our production partners to reduce output by a further 3 million carats in support of managing working capital. Now, as you know, we signed a framework agreement with the government of Botswana late last year to update the sales and marketing agreements and extend the relevant mining licenses. We are continuing to work through the underlying detail of that and make sure that we end up in the right way for the next-generation. I personally recently met with President Masisi and that reminded me absolutely of the strength of our relationship and I welcome the support of his team in building out the various agreements over the recent months. Now on Grosvenor. So this is what we know at this time. As you can imagine, an event such as this is going to take quite a bit of time to investigate properly and understand the causes of properly. But on the 29th of June, it is clear that we had a localized ignition somewhere on the longwall phase and the operations and the protection equipment that we have installed picked all of this up and thankfully, we were able to fully evacuate that mine, getting everybody in the mine to safety pretty quickly. Now what followed that initial gas ignition was a coal fire. In the hours and the days actually that followed that, Dan and the team worked pretty tirelessly alongside an excellent Queensland mine rescue services to contain and to work to extinguish that fire. And this involved setting up a number of exclusion zones around all the accesses to the mine using an array of equipment to inject inert gases into the underground environment to crush the fire and then also required us to temporarily seal the mine by closing down all of the shafts and to do that, we had to use remote machinery given that they were all in exclusion zones. So where are we now? Well, gas and temperature monitoring as well as drone monitoring would suggest that the fire has been extinguished and we are now developing plans with the authorities to examine the workplace in order to understand both the cause and the extent of the damage. Now having said that, it is unlikely that we are fully going to understand the extent of this damage for some time. We are committed to a full investigation alongside the relevant authorities and we had of course, worked tirelessly with them alongside the regulators after the 2020 incident to ensure that we had operated that mine in a safer manner as was possible. Realistically at this stage, it is unlikely that the longwall reinvestment will take place under Anglo-American's ownership. Certainly, considering the relatively high-value and quality of that of that coal reserve, we do believe though it remains a viable asset and in parallel to us understanding it, we are going to continue with the sales process and move ahead as we had originally planned. Now, the timing of the fire has added some complexity to that divestment process. But as I said, after some careful consideration, after good discussions with Dan and the team and after a number of the buyers-- of potential buyers confirming their interests including the acquisition of Grosvenor, we are going to move on. I know that these are some of the highest-quality steelmaking coal assets in the industry and are clearly still very sought-after. So I'll talk a bit more about the processes a bit later on but I'm going to hand over now to John, who is going to take us through the numbers. I'll come back then and talk about the transformation and the growth. John?
John Heasley: Thank you, Duncan and good morning, everyone. I'm pleased with the first half financial performance, which is reflective of the strong operational execution that Duncan has just described. Firstly, production is broadly flat despite the negative impact of our conscious decision to curtail production at De Beers to manage working capital. Revenues are down 8% or $1.4 billion, largely reflecting a 10% reduction in the Group's basket price, mainly driven by iron ore and PGMs although diamond volumes were also down, resulting in De Beers revenue being 21% lower. Notwithstanding this revenue headwind, we maintained EBITDA at $5 billion, roughly in line with last year as our cost reduction initiatives started to positively impact results. This resulted in EBITDA margins improving by 200 basis points to 33%. The business has responded well to an increased focus on working capital and cash conversion. And while net debt increased slightly in the period, we saw our working capital inflow and maintained net debt-to-EBITDA at 1.1 times. These all allowed the Board to recommend an interim dividend of $0.42 per share, in line with our 40% payout policy. Moving on now to unpack that roughly flat EBITDA in a little bit more detail. You can clearly see here that those non-controllable factors of price, foreign exchange and inflation had a $0.7 billion negative impact on EBITDA, mainly driven by price. And looking at that price impact, you can see this was driven by iron ore and the impacts of provisional pricing as prices declined through the first half. But we also saw a further deterioration in PGMs and diamond markets. With the PGM basket price down 24% and the Rough Diamond index down 20%. The right hand side of the chart then clearly shows that our cost reduction actions are taking effect with a $0.7 billion benefit in volume and cost. Most of this is cost-related including the corporate cost savings now being at the full-year, $0.5 billion run rate, as well as, initial cost savings in Copper Chile and PGMs. Roughly half of the $0.4 billion benefit that you can see in PGMs was volume-related given the 9% increase in sales volumes. Overall, the $5 billion EBITDA performance reflects strong operational execution and cost management. And I'll now drill in on those on those costs in a little bit more detail. Total unit costs were 4% lower compared to last year, including the effects of inflation. This strong performance was largely driven by copper, which was down 15%, driven by a weaker Chilean peso, coupled with cost savings and higher production from Quellaveco. At Steelmaking coal, higher production drove an improved unit cost performance although we do now expect unit costs to go up in the second half, driving full-year guidance to somewhere between $130 and $140 per tonne given the fixed costs that we're carrying at Grosvenor. While unit costs are clearly important and reflect the operational level performance, as I said in February, they only represent half of our total cost base. We're driving focus and action on the total cost base and those non-unit costs that you can see here include volume and price-linked costs like shipping, royalties, third-party purchases and inventory movements, but also overhead costs. These other costs have reduced by $1.1 billion in the period. The main drivers of this being the impact of lower prices and volumes on the purchases of third-party product, primarily at PGMs and De Beers as we continue to look to closely manage inventory, but also the benefit of the run rate of corporate cost savings now delivered. Staying on cost for now, as you will recall, we previously announced significant cost savings with the $1 billion run rate to be delivered by the end of this year. That broke down into two components, both of which I'm pleased to say are on track. The first $0.5 billion from last year's corporate streamlining has been delivered as you've just seen. The second $0.5 billion comes from operational savings delivered from our focus on operational excellence. We've made good progress here with around $0.2 billion run-rate delivered in the first half. Further savings will be realized from the Los Bronces plant closure now scheduled for this month as well as the significant workforce reductions previously announced in PGMs and Kumba. Consultations on these restructurings, as Duncan said, are complete with employee numbers reduced by more than 4,000 and the associated cost benefits will materialize in the second half. The more recent third element of our cost program is the $0.8 billion we expect to realize largely from delivering on our strategic transformation that we set out in July. That we set out in May, sorry. As you will recall, the $0.8 billion was subject to review by KPMG and we now have a dedicated team developing the plans to implement this. The new simplified Anglo-American focusing on just five key operating assets allows a complete reset of the organization's design to ensure that we emerge as an efficient and agile mining company. While retaining, of course, what we see is our differentiated -- differentiated capabilities to grow the business, particularly in relation to what underpins our reputation as a responsible mining company, our sustainability, community and innovation expertise and our relationship networks. Finally, on EBITDA, it's worth standing back to look at the component parts. Firstly, in De Beers, the $0.3 billion first half EBITDA included a $127 million one-off fair-value gain related to the iron ore royalty that we sold earlier this week. Looking ahead for De Beers, if current market conditions continue, we expect the second-half to be weaker than the first given the weighting of marketing costs. Importantly, copper and iron ore alone contributed $3.5 billion or 70% of the total Group EBITDA. As I mentioned in May, these businesses are structurally more profitable. This is clear in the first half performance with EBITDA margins of 53% and 43%, respectively, well-ahead of the group average of 33%. This is another very positive indicator of the more financially resilient company that we will have from 2026. As you know, I'm keenly focused on bottom line earnings and disciplined cash flow. The underlying effective tax rate in the first half was 40.3%. As expected, that is higher than last year, reflecting profit and associated country tax rate mix. Higher copper prices led to a higher proportion of taxable profits in the relatively higher rate jurisdictions of Chile and Peru, while lower iron ore prices were the main driver of a lower contribution from the lower tax jurisdiction of South Africa. Guidance for 2024 remains at 40% to 42%. This is higher than I would ideally like and we continue to optimize our corporate and financing costs to drive better geographic alignment with our earnings to ensure that our tax rate is at the appropriate level. Moving on to special items reported outside of underlying earnings. As mentioned in our production report, we have reviewed the carrying value of Woodsmith in light of the slowdown in development to focus on balance sheet deleveraging. As a result, we've taken a $1.6 billion impairment to take the carrying value to $0.9 billion. This is largely due to the time value impact of delay with first production assumed to be three years later now in 2030, with no change to our conviction in the project or indeed the underlying commercial assumptions. At Grosvenor, which is a book value of $1.3 billion, we will monitor the carrying value closely through the second half as we understand more about the impact of the fire on assets and overall planning for Moranbah-Grosvenor,as well as the sales process. And finally, EUR0.3 billion of costs have been recorded relating to the previously announced organizational redesign and subsequent strategic changes. Turning now to capital expenditure and cash. CapEx of $2.9 billion breaks down a $0.7 billion of growth and $2.2 billion sustaining spend. This includes $0.5 billion of growth spend at Woodsmith and a slightly higher near-term sustaining spend driven by projects including the tailings filtration plant at Minas-Rio and the desalination plant at Collahuasi. Full-year guidance remains at around $5.7 billion. This slide summarizes the conversion of the $5 billion of EBITDA-to-cash and I was delighted to see cash conversion increased to 86% in the period, supported by a $0.6 billion inflow of working capital. This was mainly driven by receivables with lower iron ore prices, as well as the benefit of faster collections. Inventories remain higher than we would like at $7.2 billion, largely due to diamonds. You've seen from our actions earlier in the year to reduce production that we are taking all steps to manage the diamond inventory and managed to hold stocks flat at around $2 billion in the first half against weak demand. This remains a significant focus and as Duncan mentioned, we've now taken further decisive action to cut production at De Beers to prevent the risk of an inventory build this year. From the resulting cash flow from operations of $5.2 billion, we funded tax, interest, distribution to non-controlling interest and sustaining CapEx. That came together to deliver sustaining attributable free cash flow or cash flow-before-growth CapEx and dividends of $1.2 billion. Net debt increased from December by $0.5 billion to $11.1 billion, driven by growth CapEx and the final dividend payment from last year. While we have an abundance of liquidity at almost $16 billion and our balance sheet remains robust with net debt-to-EBITDA at 1.1 times, well within our bottom of the cycle target of 1.5, we are focused on reducing net debt in absolute terms. Clearly, the proceeds from our announced divestments plan will help, but we are focused on all the operational levers that we have available to us within both costs and CapEx. So in summary, we delivered a strong first half and the benefits from our focus on costs and cash are visible in our results. Our focus on operational excellence is translating into better financial outcomes. Costs are coming down and cash conversion is improving but of course, there is more to do. And we remain focused on and absolutely committed to continued operational excellence as well as our transformation and cost reduction plans. Thank you. And I'll now hand you back to Duncan.
Duncan Graham Wanblad: Thanks, John. I thought that was very clear. And even though we're having quite a tough time in terms of these commodity markets from a volatility point of view, I think it's really pleasing to see such a more resilient financial position emerging from the business and one that I think we can look forward to building out on. So as John has just outlined, we really are making good progress. But as you said, there's still plenty for us to do and especially around the demergers and the divestments. Let me take a moment before I talk about those just to step back and remind you what we are working to achieve here and why we are actually so excited about what this company is going to be once it has fully transitioned. Anglo is a fantastic company and it has incredible people and incredible assets and resources. But it was certainly becoming increasingly clear to me and especially towards the end of last year, that there were some deep, deep structural issues that we needed to address. For some time we had traded to a discount, at a discount to our peers. There are many, many reasons for that I guess but two of the key ones that I was able to isolate was one that we were too complicated and we just have an idiosyncratic business mix where the true underlying value of each of these assets just doesn't shine through. In addition, whenever we go through a downcycle, be that the 2008 downturn, whether it's the 2015 downturn, that affected all the commodities or even now the diamond and the PGM down cycle of 2023, we just see so much of an impact of those sorts of down cycles on the business. It's always more pronounced than the rest of the sector. So there's just too much operational leverage in the business and that ultimately then leads to too much financial leverage. So we needed to change it. And to do so required a set of bold initiatives and that's exactly what we are doing right now and we're doing it as fast as we reasonably can. The new Anglo is going to be a business that is much simpler than the one that we have today. It's going to be 100% focused on future-enabling products while retaining enough scale and geographic diversification. We will be a substantially more resilient financial -- in a financial -- in a substantially more resilient financial position with considerable growth optionality embedded within the portfolio. We have an industry-leading copper business and that has a pathway to increase its production by 30% just through organic expansion. We will have a premium iron ore business, which through the cycle, should be a fantastic cash generator with a material production uplift potential from our Serpentina deposit. And we will also have a very compelling option on food security, which we believe to be one of the best megatrends that we can see in the markets today with our Woodsmith project. Now as a result, we believe that this business will be valued much more positively by the market and this creates a platform for us from which to build. We are implementing a clear and a comprehensive set of plans to transform the business over the next 18 months. And I know that when we get to the other side, this journey will absolutely have been worth the effort. Now on this slide, we can see that what this business is going to look like in the future and the type of business that we're unlocking. The new Anglo has an incredibly powerful investment case, one that is far more focused with a high quality set of portfolio assets which means growth optionality that we already own can be even more transformative and this provides a clearer read-through from a value perspective and we believe that maximizes value for shareholders. Our operational excellence work so far is the start of a step change in efficiency and performance. And with the assets housed in a much simpler structure going forward, we can deliver material cost savings and transform our EBITDA margin. Now on a pro-forma basis for the retained business in 2023, this would have been a 15 percentage point benefit taking us all the way to 46% in that margin. Now that's also going to drive the transformation of our relative cost position. The 31% margin performance of last year was reflective of both our fourth quartile cash cost and sustaining CapEx position. That is a position that we will just structurally change as we deliver on our portfolio transformation, which then shifts us into the second quartile at the end of that journey and post that, with the first quartile upside potential once we deliver Woodsmith in the early 30s. We are confident that we are reshaping this company to be a more financially resilient one, driving improved through-the-cycle performance that will maximize value recognition by the market. Now the one point that I would like to make particularly clear is that sustainability and operating the right way is fully embedded into our strategy from day-to-day operational decisions all the way through to the portfolio choices that we make. We believe that it has to be a prerequisite for sustainable value creation and it is fundamentally integral to the DNA of this company. None of that is going to change. We are committed to genuine alignment between sustainability and profitable outcomes. Our sustainability and our technical capabilities underpin performance at existing operational assets while being the critical enabler of our ability to deliver innovative solutions which realize our book -- our growth ambitions. Now many of the world's undeveloped resources today are sterilized due to environmental and community challenges. I believe that we have demonstrated through our sustainability approach and ability to unlock value at the likes of Quellaveco and Los Bronces. And looking ahead, I believe that we are doing exactly the same at Woodsmith and Sakatti. We will use technology, of course, to further enhance these outcomes but with a focus on driving economic returns for our shareholders and to generate positive benefits for all of our stakeholders. We are committed to operating this company responsibly and focus on sustainability. Now, I'm going to spend quite a bit of time on this slide, but it's about the divestment processes. And I guess running any divestment process is generally demanding. Running four at one time is very challenging. But the plan is to get to the streamlined organization in the time that we said that we were going to do it. We want to make absolutely sure that we deliver each of these processes on the best possible terms. At the same time, we want to make sure that there are no compromises in operating performance during this transformation phase. Now, there's been an enormous amount of effort in setting ourselves up for this and getting underway. We now have dedicated internal and advisory teams in place to run each of the transactions and all of those teams are now up and running all around the relevant legal, technical, accounting and commercial work streams. And as we'll come on to, some are already now underway in engaging with buyers. Alongside that, we have a team focused on the organization design work to make sure that we are ready to execute as soon as each of these processes is complete without any concerns to business continuity or on delivering our efficiency targets. We then have a very tight team at the center of all of this to make sure that we manage all the critical interdependencies across all of these processes. Now I know that you're going to have plenty of questions around this. So let me give you a little bit more clarity on each of these processes. But at this stage and particularly given the various variables that we just don't control, it is difficult for me to say more than what I'm about to tell you. I would say that overall, with the level of extra planning that's gone into this, I am confident in achieving this objective of being sustainably done with this transformation by the end of 2025. In terms of the underlying processes, I'll start with steelmaking coal. Now as I've already said, we are going to continue to manage the situation at Grosvenor very carefully and very responsibly. And when an incident like this happens, we have to -- we did immediately pause aspects of the sale process. And the reason that we did that is we wanted to be sure that Dan and the team had all the bandwidth that they needed to be able to effectively manage their response to that incident. The paramount focus for us, of course, is going to continue to be to support that team and ensure that they are able to act safely and responsibly during the sales process. But now that the situation there has stabilized somewhat, we are moving at full speed with the sale process. Now, there has been very strong interest expressed for some time now in this coal business and this interest has all been reiterated over the last few weeks. So we're pressing on and working to bring a conclusion to this process ideally within the next six months. At Nickel, our intervention to limiting price pressure on cash flow has already delivered some results and in the first half of this year, we really do believe that we are now well-positioned to progress actually with our preferred option of a sale and we are moving on with that. At Anglo Platinum, we are well on track here for a 2025 execution. The teams are working together and we are-- to be able to deliver the separation as effectively and as efficiently as possible. Now whilst our prior experiences at the likes of Mondi and Thungela was for the demerger process to take more than 18 months. We are well set here to move more quickly given that Angloplex already has listed company processes, systems and governance structures in place. That significantly accelerates this particular process, although it is important to flag that there are some complex separation pieces of work that will need to be done as many of the functions are very closely integrated with a greater Anglo Group. Now we want to make absolutely sure that this gets done in the right way and set this business up to deliver its tremendous potential too. Now success involves getting the separation right but it also involves making sure that we think about taking the right actions in terms of managing flowback proactively. We are therefore looking at the potential of a listing of this business on the London Stock Exchange alongside its primary listing which will remain on the Johannesburg Stock Exchange. So all of these processes are now underway. De Beers is likely to be the last in the sequence here, as I've said before. We have the transaction team assembled and the management is continuing to deliver on its origin strategy while responding to the current market environment. The diamond industry has been through many, many twists and turns over time and we have full confidence in De Beers in -- that De Beers itself is best positioned in this industry to be able to navigate these twists and turns. They have world-class assets. They are very integrated and great to have a great position across the value chain. And of course, they have the iconic De Beers brand. And with that tremendous potential, we believe that they'll see through this downturn. We are therefore very focused on setting the business up for the future and will exit for value, but most likely, later in 2025. In parallel to all of these processes, we are designing the organization which will support the separation and then also ultimately simplify the structure for the new Anglo-American. Agility and accountability are key here. We expect to work through this transition pathway to implementation of our future organization as these divestments and demergers complete. Now, while our immediate focus is on operational excellence and delivering on portfolio transformation, we, of course, must not forget about the compelling growth story that we have in the new business. On the other side of this journey, the value of the organic optionality, as I said earlier, should be fully recognized by the market. Now looking first at the copper business. We have three of the world's leading copper mines in Quellaveco, Los Bronces and Collahuasi. Now, as you can see on the slide, we've outlined a very clear pathway to exploit the outstanding geological potential of all of these assets together with our greenfield Sakatti project. All of this targets, 1 million tonnes per annum of copper production with further expansion upside potential, as well as other growth opportunities that we would aim to secure over time. We continue to progress these growth options with our sustainability-focused approach. And once these projects are ready to be progressed, the high return potential for these brownfields expansions will see our growth capital allocated here. One point worth noting, at Quellaveco, you may have -- you may now be aware that a recent amendment in the legislation in Peru has increased the grace threshold for miners daily throughput rates from 5% to 10%. So what that really means is that under current licenses, we should be able to take our mine production up to 140,000 tonnes a day from 127.5 and that means or an additional 10,000 tonnes per annum of copper. So we've started some study work now to see if we can accelerate that within the current licenses and hopefully get some benefit of that perhaps as early as 2026 before we take that next incremental step, which ideally would be up to 150,000 tonnes a day for us from 2027 onwards. So that's a bit of good news. Turning to iron ore, the new Anglo-American portfolio has an outstanding premium iron ore business. Produces some of the highest quality DRI in the industry, while our Kumba products, particularly its lump enable more carbon efficient transitional steelmaking processes. Now as the global steel industry decarbonizes, we do expect to see even more significant premiums emerging for these types of products. We have an opportunity to further enhance this portfolio through the potential future development of Serpentina and I believe that the scale and the quality of that ore body is even -- is even more exciting than we first thought about when we looked at it, but it will absolutely enable about the doubling of high quality DRI production. At Woodsmith. The project here, I continue to believe, is a potential game changer for us. The scale and quality of that ore body, coupled with the premiums that we expect to achieve for that product could deliver very, very strong cash flows for this company for many decades. However, right now, we just simply need to focus on the near-term priorities including the deleveraging of our balance sheet. The announced slowdown is well-progressed with shaft sinking paused on the production shaft and continuing on the server shaft in order to get us through these key showed Sandstone strata so that in the second half of this year, we can give us enough data to provide the information that helps us put a feasibility study together. The tunnel boring machine is currently undergoing planned maintenance and during the stop, we're going to connect the Lady Cross shaft, which is one of the ventilation shafts to the tunnel, after which we'll start it up again and tunneling will continue, but at a much, much slower rate than what it was prior to the shutdown. So during the slowdown period, the existing study and engineering program will continue to focus on the support that the syndication due diligence is going to require and will help us to continue to optimize the business case. The revised development plan will continue to support FID at the appropriate time once the Group's balance sheet is suitably deleveraged and the syndication pathway is clear. I continue to believe that this project will represent a cornerstone of the portfolio in the future. By now, I hope you are familiar with this slide, but to summarize, we are absolutely focused on delivering these three key strategic priorities. Operational excellence is, as you heard us talk about earlier today and you've seen in the results, delivering some results for us and we are maintaining tight discipline to optimize capital allocation and free cash flow generation. We are structurally improving the operational leverage of this business to maximize the value of each and every asset regardless of whether they remain in our ownership or not. In parallel, we are working at pace to transform this portfolio and execute on our divestment program with the expectation of being largely done by the end of next year. I am confident that we will deliver a portfolio whereby the value of our assets and their growth potential can be fully recognized by the market. So in conclusion, we are genuinely excited by these plans that we unveiled in May. I'm very keen to get on and get them done. We are reshaping this business into the next-generation mining company with considerable strategic flexibility. Change as transformative as this will inevitably have its challenges but we do have the teams in place and we do have the commitment and our eyes firmly on the prize at the end of it all. Thank you. Happy to take your questions. Yeah, Ian, so you’re first.
Q - Ian Rossouw: Thank you. Good morning. Ian from Barclays. Two questions. Just firstly on this plan and the transactions to sort of reshape the business. Could you give us an idea what you think it would cost to achieve including sort of tax implications or if that's not clear what that current tax sort of basis of those businesses? And then secondly, just on Woodsmith, the -- could you give us an idea what capital cost you were using in this impairment test and how that changes with the slowdown of the project for the next three years?
Duncan Graham Wanblad: John, can you answer both of those questions?
John Heasley: Good morning. Ian, in terms of the transactions, then clearly, there will be tax implications of any transaction. It would be most unusual for us to comment at this stage on what we would expect that to be a number of variables and clearly in any tax payable, one, what is the proceeds from the transaction, what's the legislation environment and how might that change over time and then, of course, the tax basis of those assets, which you asked, but that's not something that's in the public domain as the tax basis. And of course, those various structuring and complexity issues that would mean for us to put details and numbers out there could be prejudicial to any tax position that we ultimately end up with -- and that's consistent with what I said in May whenever we were talking about these transactions. What I would say, and also I said back then, is that we've taken all of that into account as we look forward around creating this phenomenal company with a strong financial profile, we've taken into account what we would consider the likely tax consequences of that to be but not something that I would share and it'd be very unusual for any transaction to share at this point in time. In terms of Woodsmith, no change from previous commercial assumptions around either the market pricing, which is really just moved for inflation. So that's now $199 a tonne relative to $190 previously. And on the CapEx side, it's a little bit of demobilization and remobilization. But outside of that, no change. We never gave a specific number before, but as you knew, it was roughly going to be $1 billion a year and there's not any significant change to that in this. So the impairment really just reflects the time value in that three-year delay is the major delta.
Ian Rossouw: Sorry, just on the progress of Woodsmith and Duncan, maybe if you can just -- you gave some of the shaft depths as well. It looks like the service shaft hasn't sort of progressed at all in the last six months. Maybe just give us an update on that.
Duncan Graham Wanblad: Yeah. So deliberately, Ian, from May, we slowed the production down and also basically stopped it. Actually, the other way around, the production shaft slowed down, the service shaft actually is continuing. That's the one that we're going to drive through the sandstones. So there's -- I mean, mean that's going exactly as per the plan. No-- nothing to report in the context of change of rates or anything like that. So the only change is the deliberate slowdown of the production shaft.
Liam Fitzpatrick: Good morning. Liam Fitzpatrick from Deutsche Bank. One question on the disposals and then one on the cost savings. So on Met coal, is it possible to sell Moranbah separately to Grosvenor or is the above ground integration just too high? So it's more likely that you sell them both as a package? And then secondly, on the cost cutting, the remaining 8 billion -- sorry, 8 billion, 800 million, I should say, for next year. I mean, it's a big number. Is that all within the go-forward Anglo, i.e., the copper, iron ore and corporate costs? And can you give any color around where exactly that's coming from? Thank you.
Duncan Graham Wanblad: It is, but John can answer that question more fully. As far as the Moranbah/Grosvenor question you asked, just if everybody recalls, Moranbah was there first and it had all the infrastructure associated with us. We then built Grosvenor after that and integrated Grosvenor into the Moranbah structure. So technically, it is possible to separate those assets if we wanted to. Do you want to deal with the $800 million?
John Heasley: No. I mean on the 800 million, Liam,-- as we said previously, that's a very detailed piece of work that we did back in May and was subject to a quantified financial benefit statement done by KPMG. So there's a lot of detail what sits behind that. So it's roughly 600 million of sort of overhead type savings as we really simplify the business. And as I said in my comments, as we move to a much simpler business with five operating assets, then that what you need above the mine to run that business is much, much simpler. So a lot of that is corporate overhead. And while we've not got all the individual components of that, the direction of travel is very clear and we've got a team set up to deliver. And then another 200 is really on the operational side and that's a continuation of the momentum that we're now seeing as we're getting in some of the graphs that Duncan showed there, the confidence that we have in further operational savings to come through. But I'm very confident in that 800 million number as you can imagine given that it was subject to independent review.
Bob Brackett: Good morning, Bob Brackett at Bernstein. A question on the corporate streamlining. You've hit the $500 million run rate and at the same time surprised perhaps some of us with releasing value from streaming agreements, iron ore, De Beers, copper. I guess the question probably congratulate you on hitting the run rate but then I will ask for more and say, could you beat that number? And are there more opportunities to find these $100 million style businesses that we were unaware of.
Duncan Graham Wanblad: Well, we're looking for them absolutely everywhere. So to the extent that they're there, we'll find them and then and then we'll do something with them that's appropriate. In terms of the run rate that we hit, of course, when I said to you last year, we were going to, we're going to do this. This was a function of the restructure of the organization on country lines and a real focus on the simplification of the work that we do within the organization. So that is -- that is well-progressed and done. The second $500 was very much a focus on the operations side of it. So these were big programs that ran through Kumba, Anglo Plats, the De Beers business and copper in Chile predominantly. And that, now that we've completed the processes for the Section-189 process in South Africa, you're starting to see the benefits of those come through. In terms of is there more? Well, the 800 is a pretty big number that's going to come out. And as John said, that's the right-sizing of the company to an asset-based that's got what is it about five operating assets, a joint-venture and a few projects in it. So you can see that the principles that we applied in the first restructuring will apply here, but then the mass-centralized services that are appropriate for a company with a footprint that we currently have changed quite considerably when you think about how you will deliver a supply chain model through that and IM model through that, et cetera, et cetera. So that's -- that's the stuff that we are on about and have a high level of confidence in doing. On-top of that, just in terms of the work that we're doing on operational excellence, elimination of waste is one of the key elements of the work that we're doing. And so, we turn every dollar over two or three times before we decide that we're going to spend it on something and what it's going to deliver. And that's a cultural thing that's -- that's being driven through the operation. And all of that is a function of not just being penny pinching but being very thoughtful about where we spend the money. So we're still spending the money on the right things. So reliability of equipment, safety, legislative changes in the business, growth in the business to the extent that the growth is discretionary, that's a capital allocation decision that we at the center take in the context of the strategy that we've got for the whole of the portfolio. So I am optimistic that there will be more just coming out of the culture that we're developing in the business but we don't have any fundamental programs in place outside of the $500 million which we've delivered, the $500 million, which is in train and the $800 million, which we are setting up to do by the end of the divestment process. Liam?
Unidentified Participant: Thanks, Mark at UBS. Sorry. Liam to confuse you. We've -- so a couple of things on Amplats, you're saying 2025 exit. Could you give us a better sense around the timing within 2025 because by then you're practically going to be ready to push the button to do the spin out versus, I guess, taking into market considerations to optimize and minimize flowback in a hopefully stronger PGM price environment. And then maybe just a quick update on the other processes within the portfolio, the sale of the stake in Woodsmith, I presume that's on ICE until kind of FID. The JVs, the adjacencies you talked about before, are they on ICE because your kind of your desk is -- your intra is full and Samancor you touched upon is something you were still thinking about last time we talked.
Duncan Graham Wanblad: Okay. On Plats, I really don't want to be more specific than the end of '25. It's clearly a priority for us to get it done as quickly as possible. As I said, there are some complexities in the separation work that we need to do but actually much of it is the regulatory processes that we need to follow in terms of the secondary listing in the UK and so on. So very optimistic that this is all moving in the right direction and it's moving as fast as it can reasonably done and I'm very confident that we'll get it done in 2025. As far as Woodsmith is concerned, so what it's going to take to syndicate this project is a feasibility study or a study equivalent to a feasibility study that a potential buyer can effectively value. And for that to happen, we have to get the level of information that we would require generally for an FID-type of decision and that's very contingent on us getting through these sandstones, completing the design of the underground, et cetera. So that's why we've continued to prioritize that work. Only at that particular point, although we have started the process of syndication and we are in conversation with potential players, what they really want to see is this documentation and that I suspect we will have ready early next year, which is as per our original plan. I don't expect that anybody is going to write a check for this until they are clear that we ourselves are going to progress with the project. So we will have to get through the restructure. We will have to be clear that the balance sheet is in a good and a robust position and we'll have to be clear and convinced ourselves that we are not exposed to any more idiosyncrasy associated with markets and market performance associated with the business. And then I think at that point in time, we will be able to close the deal, but we'll have done all of the work with all of the right types of buyers that we expect to have done before we get there. On your JV's question, I wasn't really sure which JVs you were talking about.
Unidentified Participant: The Collahuasi.
Duncan Graham Wanblad: The adjacency stuff. No, look, I mean, look, this has been a -- this has been a big deal for us for a long time. We like these adjacency things, right? I mean, to the extent that there are -- there is M&A to be done in this industry where you've got real direct fundamental industrial logic that exists either in infrastructure or ore bodies, you go after them. But all of these things have a number of shareholders and stakeholders involved in it. And when it ultimately gets to value and value transformation, everybody has got a view of this from a certain perspective within the structure that they've got. Sometimes you can work through that, sometimes you can't. I'm very optimistic we'll be able to work through these on the remaining adjacencies that we've got. But I'm also fairly realistic that it takes some time and everybody has got to be on the same page at the same time for it to happen. And a lot of the stuff is circumstantial. It's where companies are and where stakeholders are at a particular point in time. You don't have an option unless you're working on it and I can assure you, we're working on it. As far as Samancor goes, no change to the answer that I gave you in May. It's a great little business. Of course, it's had the cyclone impact in the Australian assets at this particular point in time. So now probably wouldn't be ideal anyway. And we'll get to it at some particular point in time, but it's not a complexity to the structure. It doesn't add any management overhead. It doesn't add any deep risk to the way the business is run today. That's it. Okay.
Alain Gabriel: Thanks. Alain Gabriel at Morgan Stanley. Duncan you mention that you recently met with the President of Botswana. Is the government fully on-board with what you're trying to achieve there? And I guess, any updated thoughts on whether an IPO or an outright sale would be your preferred route? That's the first question.
Duncan Graham Wanblad: Yeah. In terms of IPO or sale, I mean, obviously, it would be great if we could sell the business into the right, into the right hands, but that's very important that it is the right hands. And to the extent that that's not possible, then I think I think moving down the down the IPO track is the right one. So we're going to be dual tracking this for a good few months still. And realistically, I think the sales option remains open until the day that you actually go to market with the prospectus. And I think that's the way that we're going to be looking at it. In terms of my meeting with the President of Botswana, very constructive. I mean, we've had an almost 60-year relationship with the government of Botswana. It is a good relationship. And this is important for De Beers. It's as important for the government of Botswana. So all of us really want to get to an outcome that is good for both of us. And I believe that the President is committed to getting there. So I was very positive coming out of that meeting.
Alain Gabriel: Thank you. And the second question is going back to Amplats. Clearly, there is a long regulatory journey to get to where you need to get to in terms of the spin. What are the next or say specific milestones or signposts that the market needs to look out for to get some comfort that the process is making some progress.
Duncan Graham Wanblad: Well, I mean, I don't -- I don't really know what to tell you on this thing in terms of what to watch for. I mean, you look at my body language would be good, number one. Yeah. Look at Craig's body language, see if you think he's making this up. He's not -- he's a -- he's working really hard, very constructively. The teams are working extremely hard. There are a few things that we have to go through from a regulatory process. It does take some time to lodge -- to get all the documents ready and then lodge those documents and then go through those processes. So we have to state accounts over certain periods of years and all sorts of things. That's the work that's happening. So I would suggest that by February next year, we probably have a lot more to say about this thing, but I can absolutely assure you we're committed to getting it done.
Alain Gabriel: Thank you.
Duncan Graham Wanblad: Okay. Richard?
Richard Hatch: Hi. Good morning. Richard Hatch from Berenberg. And two questions. The first one, just on the met coal business. And skeptic might say that if the -- when the assets are run a bit harder, they start to operationally struggle. So we've seen that in the past when they've run at elevated levels, there's been either elevated gas levels and that's caused issues. And so the question is, and then you've got trust issues as well. So the question is the guidance for the met coal business realistic or do you think they just need to be run a little bit easier over time and therefore, they can be sort of operating more safely? And then the second is just on following on from that in terms of the sale process for met coal when BHP sold Beers, they sold it for cash upfront payment and then some additional cash sort of deferred. Would you be willing to do that just given the operational upside that perhaps just needs to be delivered on these assets?
Duncan Graham Wanblad: Okay. Thanks, Richard. Both very good questions. In terms of the met coal ops, I mean, we do understand how those longwalls operate when they operate fast. And up to 2020, we were doing almost 100 hours a week on those longwalls. Then we had the incident at Grosvenor and that was a function of us moving into the slightly more fragmented ground. So geotechnically, the ground became -- became more complex in Moranbah and Grosvenor. I absolutely believe that we will get back on top of an operating routine that allows us to move those long walls faster. This interaction of the gas and the strata is what's causing the production speed, if you like, on this thing. So because we've got now much more restrictive gas conditions and every time the monitors hit a gas limit, we must slow the longwall down and we must evacuate the gas and then we pick it up again. So quite a lot of that is a function of what the strata looks like and we will move through some of this very challenging strata over time. That is-- that is point one. And point two is we've done a lot of work on the whole operating cycle there, which includes a high level of automation on those longwalls. So the progress that we've made from a standing start a couple of years ago on automating and removing people from the face is actually quite astonishing. So it is one of these things that it takes a bit of time to bed in and iterate. I mean, we still can't get to the point where we've got nobody on the face but that's what we're ultimately trying to achieve except for obviously when we go into shutdown and maintenance sort of periods. But so definitely making progress there. And so given the quality of those of those ore bodies and given how technology moves and given how processes evolve, I don't think that we should, we should write-off the direction of travel that we've marked for those assets at this point in time. I think Dan and the team are doing a really good job in closing down each of these unknowns and moving to higher levels of productivity and we certainly saw that in the first half of this year.
Richard Hatch: Thanks. And just on the…
Duncan Graham Wanblad: Just on the, on the sale process, look, nothing is off the table in the context of what the commercial arrangements would look like that we would do. For this thing, it does come down to ultimately value and time and those are the two that we're trading off. So to the extent that somebody offers that, we will look at it but our core objective is a clean exit as soon as we can.
Richard Hatch: Thanks, Duncan.
Duncan Graham Wanblad: Okay, Tyler. So we'll go to the line now?
Operator: All right. So your next question comes from the line of Chris LaFemina with Jefferies. Chris, your line is now open.
Chris LaFemina: Sorry operator, thanks guys for taking my call. I have a bit of static in my line so hopefully you can hear me okay.
Duncan Graham Wanblad: Yeah. I can hear you, Chris.
Chris LaFemina: Okay. Great. Thanks. So if we look -- I mean, congratulations first on the on the cost improvements. That was a very impressive first half. And in terms of is there more, if we look at the capital intensity of the business. So your CapEx in copper is running at about $1 per pound and volumes are actually going down over the next few years, I assume CapEx intensity is probably going up there. Your CapEx in iron ore is $15 to $16 a tonne and volumes are going to be flat over the next few years. And the CapEx in met coal has been between $30 and $40 a tonne and that was before the Grosvenor fire. So I assume the capital intensity in met coal is going to grow materially higher over the next 12 months to 18 months. So -- and maybe copper -- that CapEx intensity is sort of in line with industry average but in iron ore, met coal, your capital intensity seems to be significantly higher than where your peers might be. And I'm wondering and the question of is there more? Is there potential for significant reductions in the capital intensity of those businesses, in particular in iron ore where you're in the mid-teens per ton. Can that number come down materially over the next, say, three to five years? Or is that just kind of going to be the kind of going cost of business for those assets? Thank you.
Duncan Graham Wanblad: Yeah. Thanks, Chris. And again, good observation and one that we are all over and I'm sure John would probably like to add a few thoughts here. But you are right, absolutely, the industry is moving into a much more capital-intensive phase and that is true for our assets too. And I don't think that we are materially differentiated, as you say, particularly in the context of copper. We are certainly in coal at this point in time, as you pointed out, but that's not so much a function of what we're spending capital on. This is a function of what the production is at this particular point in time. So if you roll that through to the production that we expect to get out of these assets, then I think we're moving much more in line in terms of industry averages as far as our capital intensity there is concerned. The iron ore business for us is characterized by a few things that I would -- I would like to believe are extraordinary at this point in time. So we're putting infiltration plants, we've put in new crushing facilities and we've made a few changes to that business. And so it's running sort of out of where we would see it to be normal but it's going to be like this for a few years’ time and particularly, until I guess we can get some production improvement out of -- out of Serpentina. Yeah, what we have got at Minas-Rio is the ore body is changing. So we know this, right. So what's happening is ore is getting slightly harder. We're moving into the harder itabirites. We're coming out-of-the friable material. That just needs a little bit more communication and that's been the driver of the capital intensity there. John, do you want to add?
John Heasley: No.
Duncan Graham Wanblad: Just that we've got on it generally.
John Heasley: Yeah. I mean the -- clearly, standing right back then capital intensity is increasing, there's no doubt across the board and that's what gives us or should give us all confidence in prices adjusting over the long term to reflect the true cost of mining as we see today. More broadly on our focus on CapEx, then clearly, capital allocation is at the heart of what we do, how we then execute those projects is also coming into strict focus and Duncan has talked, I think, for a year or so now around the work that we're doing on managing those major projects with our specialized project team led by Ali Atkinson and that is driving real tangible savings through our CapEx that we are spending. So not what we're spending on that's capital allocation but how we're spending the money is delivering some real benefits and we expect that to continue going forward.
Chris LaFemina: All right. Great. Thanks. So basically, you're taking the same approach to CapEx as you are at OpEx, which is kind of a laser-focused approach on minimizing how much you're spending there because I mean like it's very clear that it's coming through in the case of your operating costs, but less clear in CapEx so far. That was my point. Thank you for that.
Duncan Graham Wanblad: Yeah. Chris, absolutely laser-focused on it. As I say, this is -- this is Ali's number one job and I think she's doing a great job at it. I think we said at the end of last year, we were going to take, was it $1.6 billion out of the CapEx in the next three years, that we have already done. And we're continuing to improve both our performance in terms of execution and the way we think about what it is that we're spending money on. And we've got, as I say, we've got proper -- proper systems, processes and the people in place to apply that laser-like focus that you talk about. So that's the game.
Chris LaFemina: All right. Thanks and good luck.
Duncan Graham Wanblad: Okay.
Operator: So Duncan, we're bumping up on the quarter of an hour. So there are no further questions at this time. I will now turn the conference back over to Mr. Duncan for closing remarks. Mr. Duncan,
Duncan Graham Wanblad: Thank you. I might take one more question. We were bumping up to the round table right after but I don't know if anybody else wants to ask questions there. No, Grantly.
Matt Greene: Thanks very much. Matt Greene from Goldman Sachs.
Duncan Graham Wanblad: So different grant. Okay. You do look alike yeah. At least, I did call you Matt, close up.
Matt Greene: So look, firstly, congratulations on the first half. My questions are just on copper. Quellaveco, Duncan, you mentioned that you can push throughput rates. The first half, you were at 136 kilotons a day. What's preventing you from discontinuing that rate near term. Or is this sort of permitting around matching the mine plan to feed that elevated level? And then just longer term, I noticed on that waterfall copper growth, you've got an expansion potential beyond 1 million tonnes. Is that all Quellaveco or is there other projects in there?
Duncan Graham Wanblad: A bit beyond what, sorry?
Matt Greene: In the waterfall charts, you have expansion potential beyond 1 million tonnes?
Duncan Graham Wanblad: Million tonnes?
Matt Greene: Is that all Quellaveco in there?
Duncan Graham Wanblad: No, that's loads of things. So at Quellaveco, the run rate of 140,000 tonnes per day is the feed to the plant, okay. So it's the plant throughput capacity that that refers to. Your point on mine plan is extremely important. So what it takes to get there if we're not going to destroy the mine plan, one of the key metrics that we've got in this business today and Matt sat right behind you, my Matt, and I know he looks like Matt is mined to plan, right. So both or volumetrically, sequentially, we want to make absolutely sure that we keep the mine in good shape, otherwise, we end up in real trouble. So we don't want the guys going in there high grading elements of the mine and then we've got another problem in two or three years’ time as a result of doing that. So therefore, the work that we have to do is redesign the mine plan to optimize it around what was a constraint, which was the throughput of the plant and the throughput of the plant was constrained by water. So given that we've got good water performance, given that we've got demonstrated the water efficiencies there and now the ability to relieve that constraint in the plant, Matt and Ruben and the team will work around optimizing the mine plan as quickly as we can. So being thoughtful about it. In terms of the growth, that pathway to 1 million tonnes, that's a combination of the growth potential that exists in all of the assets. So at Los Bronces, we've got the underground and then, and then whatever we do with Quellaveco. We've got at Collahuasi the expansion of the fourth line potentially, and then we've got stuff coming at Quellaveco and of course we've got in --. So, the combination of all of those is the increment from around about 600,000 tonnes to 1 million tonnes. Okay, Grant did you have a question?
Unidentified Participant: Thank you very much. It's actually a follow-up question on my alter ego's question on copper. Just on the Collahuasi expansion, can you just give us some idea as to why it's going to take so long? So you've got a year and a half before you submit the permit and then you've got ostensibly, four years before it looks like it gets approved and then maybe two years construction. It just seems like an inordinately long time. What are the -- what are the key sort of sticking points, please?
Duncan Graham Wanblad: Yeah. Okay. So I've laid this out more or less before in the context of what it takes to deliver these products. And generally, it's an -- it's not got anything to do with the amount of capital that's available to develop copper projects. It's the process that you have to go through to getting those projects permitted. And that -- there are two elements to a permitting process. One is just purely the administrative side of it and that's not trivial, by the way. There are a number of approving authorities that ultimately have to come together to agree on the conditions that go into your environmental impact assessment. And that's the core permit for these sorts of projects. And in many jurisdictions, those authorities are not coordinated. So the proposing company has to try and do all of that coordination and it's not necessarily true that the water department has exactly the same strategy as the -- as the Clean Air Department as -- and so trying to stitch all of these things together can be quite time consuming. Now, certainly in the case of Chile, on the administrative side, the government has actually started to put quite a lot of work into optimizing that administrative process there. It's a little bit more like the US where they have one lead authority whose job it is to coordinate all the other authorities in that process. So that's the one element of it. And that could add a year or two sometimes to the process. So hopefully, there is some optimization that might happen there given that Chile is very, very focused on trying to address that. The second one is one that I'm less -- I think is less likely to be optimized because it really is a function of what the content of this of this permit is all about. What it looks for is many, many years of seasonal data or information that then has to be modeled. We have to do the modeling of all of that. That then goes into authorities. They do the independence -- the independent level of modeling. And sometimes there's more data required. That data collection is the thing that takes the time here. So if you have to go back and get more air quality data, for instance, that could take you another season to collect. So it's not just a matter of, okay, we'll go back and change the model and get it done. And then there is another element to this process and one that I absolutely believe is impossible to amend regulatory-wise or not because ultimately, what you have to do is consult with the communities about this project. And that is a process. If it is a genuine consultation, I've said before that a dialogue is generally not comprised of two monologues. And very important that this is a dialogue because you can see some -- many of these projects, I think 10 of the world's biggest copper projects today are stymied by the fact that they cannot get approvals. And one of the fundamental reasons they can't get approved is water were one and the second is because the communities reject them. So that process of engagement and dialog is one that necessarily needs to be of high quality and for it to be high-quality takes a bit of time and all of that has been baked into that process that [indiscernible] is following.
Duncan Graham Wanblad: Okay. That's it. All right. Thank you everybody. See some of you at the roundtable.